Jasmin Dentz: So welcome everybody to our Q3 results presentation for 2024. This call will also be webcast live on branicksgroup.com and a replay of the call will be available on our website shortly after the end of this call. Our CEO and CFO, Sonja Wärntges will now give you an overview of our financials and our guidance. After the presentation, we will be happy to take your questions. Please note that management comments during this call will include forward-looking statements, which involve risks and uncertainties. For a discussion of risk factors, I encourage you to review the safe harbor statement contained in today's presentation. As always, all documents relating to our nine months reporting have been made available on our website. I now turn the call over to Sonja for her remarks. Sonja, please the floor is yours.
Sonja Wärntges: Thank you very much, Jasmin, and good morning, ladies and gentlemen. Also, a very warm welcome from my side to Branicks Q3 and nine months 2024 Results Conference Call. Today, as usual, I'm joined by my colleagues from Accounting and Investor Relations department. And also, as usual during our quarterly calls, I will give you an overview on what has been achieved in the first half year and in the third quarter on our key numbers followed by a Q&A session. Here all, in terms of a rough overview about what we have delivered so far, I would like to highlight the topics mentioned on Slide number 2. First of all, and maybe the most important message for today, we are ahead of plan in terms of our financial consolidation. Also, the last €40 million tranche was due end of December, we already fully paid back our bridge financing for the acquisition of VIB. This financial instrument initially amounted to €500 million and we are proud having achieved a complete payback as an important milestone in our financial consolidation. Our focus remains on further reducing our liabilities with a continued concentration on our covenants as well as our liquidity situation. Looking ahead of us the milestones are defined and approved in a solid plan, laying the foundation for shaping the company in the future. With regards to disposals, Branicks was a very active participant in the market in the first nine months of the year, selling 19 properties for €417 million. This underscores the high quality of our real estate portfolio. Including the transactions communicated in the fourth quarter so far, we are already close to the lower threshold of our guidance, which we are confident to reach with respect to our well-filled transaction pipeline. Our commercial portfolio continues to be a sustainable cash flow provider and continues to generate stable and predictable rents benefiting from rent indexation. Compared to prior year, we saw a slightly lower like-for-like rental growth due to expired lease agreements. At the same time, we realized an increase of the average rent from €6.51 per square meter to €7.72 per square meter underlying the high quality of our rentable real estate portfolio. In this context, I would like also to mention that our teams continue to successfully negotiate new lease agreements like for Neustadt Centrum in Halle. With €8.9 billion assets under management, our institutional business remains the second strong pillar of our business model recording a 2.3% like-for-like rental growth during the reporting period compared to prior year. The announced partnership with Encavis regarding our new asset class renewables has the potential for further successful activities supporting profitable growth within this segment. Thanks to our strong and solid setup within this segment, we are ready to benefit from a market upswing particularly with regards to increasing transaction fees. And last but not least, again, we saw further progress regarding our Performance 2024 action plan. Besides from the continued OpEx reduction mentioned on the slide, we also saw progress with regards to the other points of this program. For example, the mentioned reduction of liabilities, the realization of disposals, the concentration on the operational portfolio business as well as with regards to attractive investment ideas. With regard to our financial maturities profile, we set the course already in the first quarter when the lenders of the 2024 promissory note loans amounting to €225 million voted in favor of the company's restructuring plan. In doing so, the promissory note loans in question were extended to June 30, 2025. Another major milestone in the first quarter was the agreement with the lenders of the bridge financing for the acquisition of the shares in VIB Group AG completed in 2022, regarding an immediate repayment in the amount of €40 million and an extension of the term concerning that at that point still remaining €160 million until end of the year 2024. Since then we were already able to pay back €40 million at the end of Q2 and €80 million in Q3 and the remaining €40 million beginning of October. In the meanwhile, also the secured bank debt are rolled forward. So let me also underline that our focus to deiver our balance sheet while monitoring our green bond covenants remain one of the highest priorities. With 55.6% the bond LTV covenant should have peaked, and is expected to improve due to disposals and the planned redemption of the bridge financing, over the course of 2024. We are aiming to reduce our LTV further in 2024 and achieve an even bigger headroom in the midterm. With 2.0 the ICR covenant had also enough headroom to the 1.8 threshold, and we are confident to keep our interest cover ratio stable with even an improvement expected in 2024 also due to the successfully realized redemption of the bridge, and of course, above the 1.8 threshold. In terms of our average interest rate, it is important for me to underline that over the course of the quarter and due to the redemption of the bridge we improved the KPI quarter-by-quarter from 3.36% at the end of March 2024 to 3.21% as of end of June to only 2.8% as of the end of September sorry. Let's now take a deeper look in the results of our real estate platform in the first nine months 2024 showing on slide number 4. As already mentioned our like-for-like rental income remains strong and our teams once again performed exceptionally well. The like-for-like rental income rose by 1.6% for the entire portfolio under management. We see a slight decrease of 0.4% in the commercial portfolio driven by the asset class retail but we are on a good way to turn this around by having signed a new letting contract and having another one in the pipeline. In the institutional business we saw a plus of 2.3% and again rent increases were realized primarily through indexation. In terms of square meters the letting performance of the Branicks platform in the first nine months 2024 declined by 37% year-on-year to 218,000 square meters, mainly due to disposals. In total assets under management, with €12.1 billion were slightly down compared to last year's 9-month period mostly, due to the disposals which became effective in the course of the year. The commercial portfolio saw a decrease from €4 billion down to €3.2 billion, which was a direct result of the disposal. The institutional business was also affected by the termination of a larger property management mandate. As of today only 1.1% of the total annualized rental income would expire in 2024 if lease contracts are not prolonged. Over 70% of our annualized rental income has a lease length until 2027 and longer. For larger expiries in 2024 and 2025 we already proactively started the discussions with the tenants. On our next slide let me highlight the development of our main income streams. Net rental income fell to €112.9 million primarily because the prior year period still included rent from properties in the VIB Retail Balance one fund. The same effect resulted in the increase of income from associated companies that mainly consisted of deferred income from fund shares and in contrast to the nine months result 2023 still contains the share of profit in VIB Retail Balance 1. The real estate management fees slightly increased from €33.3 million to €37.4 million. Apart from recurring assets property and development fees this number, also includes fees generated from transactions that occurred at a part of the settlement of the global tower mandate. Our recurring income on the platform with €150.1 million was slightly lower year-on-year. Now, let's take a closer look on the development of the FFO year-on-year that were overall in line with our guided expectations. The net rental income saw a decrease of €12.9 million due to disposals and also due to the fact that the prior year period still included rent from properties in the VIB Retail Balance Fund. Development fees increased by €4.1 million, while the share of the profit from associates and the OpEx development also had a positive contribution to our FFO. The increase of our net interest result adjusted by non-recurring expenses was mainly due to the restructuring of our liabilities and we are confident to see significant improvements here. In total and to sum it up we see the FFO amounting to €36.1 million for the first nine months of 2024. In view of our expectations for the current business year, we still expect gross rental income in the range from €160 million to €175 million and real estate management fees between €40 million and €50 million. FFO I after minorities and before taxes of – sorry, €40 million to €55 million. With regards to acquisitions we were and we are very selective in order to preserve liquidity and also the institutional investors are. Therefore, we reduced our acquisition target in our EBO segment to zero. What remains unchanged is our disposal guidance of €650 million to €900 million whereas €500 million to €600 million in our commercial portfolio and EUR €million to €300 million in our institutional business. Beyond our guidance for the current year, our mid-term ambition also remains unchanged. We strive to transform Branicks Group towards a profitable ESG focused and value-generating asset expert with sustainably strengthened cash flows and financial position. Our ambitions are clear and we are working hard to achieve them. We want to substantially improve our earnings and cash flows and we want to return to net profit and positive net cash flow in 2026. In doing that we want to monetorize our ESG expertise. And we have a clear midterm ambition to further reduce our debt what will go along with improving the respecting KPIs. Having said this, I would like to hand over to moderator for your questions.
Operator: Thank you very much. [Operator Instructions] And the first question comes from Andre Remke from Baader Bank AG. Please go ahead.
Andre Remke: Yes. Good morning, Sonja. Thanks for your presentation. Basically two questions please. The first is on your disposal volume. What is the volume of closed disposals for the commercial portfolio and after nine months? And what is signed but not yet closed to have the complete figures because it's not included in this presentation.
Sonja Wärntges: Good morning. Andre, thank you for the question. So let me look it up. So for the commercial portfolio, we have closed -- one moment please. We have signed €369 million. And the second question was -- can you repeat this please?
Andre Remke: As €369 million was signed and closed after nine months, right?
Sonja Wärntges: We have to look it up one moment please. So the €369 million are signed and closed now.
Andre Remke: Okay. Perfect. And what is the not yet closed figure?
Sonja Wärntges: So in this number it's not included the signed ones. So this is around about €150 million.
Andre Remke: Okay.
Sonja Wärntges: Of the €369 million. So €370 million plus €150 million is €520 million -- which is signed and €369 million closed.
Andre Remke: Perfect. And you expect this to be closed until year end effective also for the LTV reduction until year-end?
Sonja Wärntges: Yes.
Andre Remke: Okay, perfect. And would you expect further transactions which are not announced as of today that this will have a potential closing chance until year-end? Or will this be probably more moved to the first quarter of next year?
Sonja Wärntges: No, it's just are other two columns of our transaction pipeline. So, we expect some to be signed and closed this year. And we also expect some only to be signed but closed on beginning of next year. It depends a little bit on the fastness of the community so to say.
Andre Remke: Yes. Okay, perfect. Thank you. And then the second question is on your guidance. What is the reason for this still very broad range in terms of FFO of €40 million to €55 million I think because nine months are already done. You stand at roughly €30 million. What makes the visibility for the fourth quarter so difficult to estimate between €4 million and €19 million for the remaining quarter?
Sonja Wärntges: Yes, this is a good question, but the answer is also clear. So if you look on our disposals and what we expect to come we are not very sure what comes. So also this is a big range what we have open until the end of the year. And so it is one of the major points the fees for the management so to say and some other costs also according to the transaction pipeline we have until the end of the year. So, we stood with a broader range in the disposals and also on the FFO level. So because we are not very clear coming back to your first question what comes in this year and is closed in this year and what is belonging to next year then.
Andre Remke: Okay, understood. Thank you very much. That’s from my side.
Sonja Wärntges: Thank you, Andre.
Operator: And the next question is from Markus Schmitt from ODDO BHF. Please go ahead.
Markus Schmitt: Yes, thanks for taking the questions. Good morning. A couple for me please. First of all you had quite an increase in EBITDA in Q3 to €69 million. Could you explain the bridge here maybe? It's not clear how EBITDA could rise so much when your rental income net rental income declined but your management fees went up. When I look at the income statement do the math I get to €37 million in Q3 but not €69 million. This is Page 13 of the report.
Sonja Wärntges: So, good morning also from my side. I have understood it right you mean why the EBITDA has increased in that amount?
Markus Schmitt: Yes, I mean the €69 million I see here when I take the I think net operating profit before financing and add back the depreciation I get to I think €37 million not €69 million. Maybe it's a typo. I just want to understand if it's maybe an adjusted EBITDA figure. So, then I would be interesting what was the obviously material adjustment. If it's a reported EBITDA figure then it does not work for me. So that is where I'm coming from.
Sonja Wärntges: So, at the moment I cannot follow your numbers. So, why the EBITDA increase is the transaction fee we have now in from about €6.5 million, but I cannot follow the number. So, maybe we calculate it and take the next question first.
Markus Schmitt: Okay. Postponed. Okay. I understand. And secondly it refers basically a little bit to the same issue because I was wondering how you get to the ICR. I think you say it's still 2 times. But year-to-date EBITDA declined obviously when I go by the nine months figure and net cash interest went up year-to-date. So could you disclose maybe what LTM adjusted EBITDA you use in calculating the ICR of 2 times?
Sonja Wärntges: Yes there are -- so we have a certain covenant calculation so to say which is agreed. And therefore we have some items in and some out. So, I think we can go through after this call especially. But at the moment we do not disclose this calculation is done as we have so to say mentioned it in our covenant calculation. But let's discuss with us afterwards.
Markus Schmitt: Appreciate. Thank you. And then two others. Then firstly, you mentioned or told me last time what the interest rates are you discussed currently with your bank debt lenders. I think you said last time, it was about 4% all in. Is that still the same level for you? Or do you see already a bit of relief in terms of declined interest rates in the market? Maybe, you could disclose it. And also the second part of the question would be, if you have started already discussions with your promissory note holders in terms of refinancing the €293 million due next year. And what interest rate, do you discuss with them that would be interesting. I think the current rate is about 6%, when I'm not wrong.
Sonja Wärntges: So to your first question, yes, the interest rates declined a little bit. So as I said, in the beginning, we have put forward to secured bank debt. And at the moment, we talk about 3.8% to 4.2% when we talk with banks, but it was only the four ones we have rolled forward, so to say. Yes, from the promissory notes, which are due next year. We are working on that. And one of the things is, we pay them back via selling assets. On the other hand, we are searching for other options and we are in discussions for other options. But at the end of the day, the main trigger would be our transaction program, which we are still working on for the end of this year and which is not done and not in the liquidity now. So we will come up with more liquidity then to pay back this. And as I said, we are also searching for other options, but promissory notes are around about 8% interest rates. So at the end of the day, everything which is more expensive would lead to more interest rates. So we are very selective in what we can do here, to get more debt in or to get the reduction of promissory notes with another debt, so to say, which is much more expensive.
Q – Markus Schmitt: Okay. So the 8% is what you pay currently on the promissory notes?
Sonja Wärntges: So at the average with all the fees, it is around about 8%.
Q – Markus Schmitt: Okay. And finally, coming back to the asset sales to simplify that a little bit. I mean, I saw you not raised in Q3, and then you just announced two new asset sales to VIB. So from today's perspective, what net cash inflow, do you expect in Q4?
Sonja Wärntges: Yes, the net cash inflow depends on what transactions will be closed and the liquidity comes in or not. So, because it's not clear, what transactions will come and will be closed, it's not clear what liquidity cash flow comes.
Q – Markus Schmitt: Sure. But you said, €369 million was closed. So, after repayment of debt. So what is the net cash inflow then on a let's say, equity value basis in Q4? So the number you know already and will surely incur in Q4.
Sonja Wärntges: So, I think there's also a question, we should answer afterwards because I don't...
Q – Markus Schmitt: Okay. thanks a lot, today.
Sonja Wärntges: Thank you.
Operator: And the next question is from Stefan Scharff from SRC Research. Please go ahead.
Q – Stefan Scharff: Yes. Good morning, Sonja. Two analysts took most of my questions, but just one general question about the market in particular, the office market. There were not too much new lettings in the first nine months, just 36,000 square meter. That's not too much. What is your view on the office market to develop in a recession period this year, and maybe there might be a recession or a weak growth coming for the next one or two years.
Sonja Wärntges: Good morning, Stefan. Yes, that's a good question. We also always think about, so as you can see, the renewals are working. So it's in the crisis, the tenants stay in the offices they have. And I think this is the good news, because most of them think that they need offices and that they want to stay and not to spend money for moving in other things. So, what we also see is that good offices, so not only at our offices, but also when you look in Frankfurt and see what's going on here, there is a lot of interest in very good offices where the employees can work in a surrounding they want to work and want to come to office and so on. We also see that there is a trend back to office. So with a lot of our tenants, we talk they ask not for lower space, but sometimes for more space, but for space which is interesting because they want to stop home office work for more than one a week. So -- and on the other hand, I think that's positive and that's a positive trend. We saw more interest from tenants in the last week. On the other hand, it's office in total, which is more interesting also on the transaction market for investors. We already talked yesterday about this. So I think the spirit of office is coming back a little bit, but as I said, other offices than they were five or 10 years ago. And mainly in the towns in the circles, they are very interesting. And what's much more interesting is the rents. I heard of a contract yesterday, I was very astonished about the rent per square meter, which was paid there. So it's the rents, which are paid for square meters are going up. And also when they are indexated, the new tenants, or the existing tenants pay them when they roll forward a contract or get a new lease contract. But at the end of the day, it's like always in a crisis the tenants stay where they are. Office is also interesting, but it takes much longer to get to a contract. We saw the difference in retail. So I have mentioned it in my speech that we have a rent contract for retail space. We have discussed this around about eight weeks and then we get the contract. So it's the other way around for good retail space and for offices where much international companies are coming in and wanting office space and they need much longer to close the contract.
Markus Schmitt : Yes. I think new rental contracts with good prices might also give support for the transactions. So that might be helpful then.
Sonja Wärntges: For evaluation so to say.
Markus Schmitt: Yes. Another question is about the bank debt. The next two years 2025, 2026, it's about €200 million more or less the bank debt. What are your feelings after the talks with the banks about prolongations about the bank's policy to structure their debt portfolio and how they think about economy here and the willingness and the conditions for new bank debt?
Sonja Wärntges: Yes. So as you know we are financed only with German banks. So I think this is a very solid and respectful discussion and basis. So they also have their points with the regulators and what they have to do on the equity side when they give liabilities so to say. But the discussions we already had about the two ones we had rolled forward were very good. They take a little bit longer and they are very intensive about the valuation and the tenants and so on. But at the end of the day we were supported here also with not only the maturity and the interest rate but also with the value of the liability. So we are satisfied with this, and we are also in the discussion for the prolongation for next year and it is also good and very discussion with the banks. And -- yes I think we will do this with the existing banks. So that's the feeling we have at the moment.
Markus Schmitt: Okay. Thank you very much.
Sonja Wärntges: Thank you.
Operator: And the next question is from Jochen Schmidt of Metzler. Please go ahead.
Jochen Schmidt: Thank you. Good morning. I have two questions please. Firstly you reported €16 million of extraordinary write-downs on properties due to the disposal activity in Q3. Does this whole amount refer to the approximately €56 million of signed transaction volume in the commercial portfolio in Q3? Or to ask the question in a slightly different way for the disposals signed in Q3 the discount relative to appraisal value at year-end 2023 was slightly above 20%. Is that right to conclude? And second question very briefly what's your expectation for the like-for-like development of the portfolio valuation at year-end? These are my questions. Thank you.
Sonja Wärntges: Yes to answer the first question, yes, that's right. It's around about 20% from the market value. And the last question when I understood it right you mean the devaluation effect of the year-end?
Jochen Schmidt: Yes, that's right.
Sonja Wärntges: Yes, we expect 4% to 7% here.
Jochen Schmidt: Som slightly down from your expectation at the half year results release. If I remember correctly you said 5% up to 8% devaluation now 4% to 7%. And then the follow-up question would be is that related to the disposals which you have already executed?
Sonja Wärntges: No, I think with every week we are going forward until year-end and with the transaction market, we see new information so to say and we are in the process of the evaluation now, as you can imagine with more than 300 assets to evaluate. And at the end of the day we will see what's coming up. But at the moment this is the same view which we had until -- or since beginning of the year. But at the end of the day the evaluators are more positive than beginning of the year. So for the institutional business we have evaluations all through the year. And so we see more positive ideas from the evaluators. And the number is relatively stable with or without the transactions we had in the last nine months.
Jochen Schmidt: Thank you very much.
Operator: And the next question goes to Thomas Neuhold of Kepler Cheuvreux. Please go ahead.
Thomas Neuhold: Good morning. Thanks a lot for the presentation and taking my questions. I basically just have two follow-up questions left. Firstly on the conditions in the rental market, can you give us some indication how re-letting rents compared to previously in-place rents? Are you able to maintain the rent level or even increase it? That's the first question.
Sonja Wärntges: So, yeah, thank you for the question, Thomas. Yeah. I think you can best prove this by the like-for-like rental income as said. So at the end of the day in the institutional business we have around about 2.3%. What does this mean? That means that the indexation stays also, if we do renewals or new letting. And as said, in commercial portfolio, we are slightly down by 0.4% -- sorry -- difficult to say. But that is mainly driven by two rental contracts in our retail asset class what means that we have one, insolvency in one of our assets and the insolvency brought us to a rent of zero within three months. But we have a new contract here which we have signed. We have reported this. So this will come up and this was a special effect so to say. So at the end of the day we see that the like-for-like is stable or going up. And we also can roll the indexation done in the past forward.
Thomas Neuhold: Yeah. Thank you. And the second question is on, the outlook for the investor market. I know it's a quite difficult question, but I was wondering what your views are how the investment market could develop next year? And if you also have an opinion how prices could develop next year if there are no major changes in the economic environment or the interest rate environment.
Sonja Wärntges: Yeah. I think after yesterday, this is a good question to answer today. But in general speaking there is much more interest in real estate than a half year ago. So I think the investors are coming back, also in real estate investments they are very selective. And as you can imagine most of them are searching for the chance so to say ideally with 15% to 20% yield. I think this is not the opportunities which are on the market. And if you look on single transactions which are -- of which the market spoke you see that at the beginning the yields are very high. And then during the discussions and during the transaction process there are another, investors which are coming and paying more. So we had two or three ideas for buying assets. And at the end of the day the prices were relatively high and the yields were relatively slow, so that we said we cannot do this for -- this was for EO business. The investors do not want it. So what would I like to say I think the transaction markets are coming back and the prices will not go down as much as, they went in the past.
Thomas Neuhold: Thanks a lot.
Sonja Wärntges: Thank you.
Operator: And the next question is from Manuel Martin from ODDO BHF. Please go ahead.
Manuel Martin: Hello, Sonja. Thank you for taking my questions. Three questions from my side. One is a follow-up question on the investor market and transactions because as you mentioned you cut your acquisition guidance to zero. If I remember correctly before it was something like €150 million to €300 million acquisitions for the institutional business which relates somehow then to the investor market, anything special there? Or can you give us some flavor there why you cut the guidance there?
Sonja Wärntges: Yeah. Good morning. So as I said, Manuel, we are very -- yeah, we are very selective with our ideas and with acquisitions and so also the investors are and at the end of the day it's also a timeframe point. So even if we are in discussions with investors on the one hand and with sellers on the other hand but it takes a lot of time to get such transactions done. We do not want to buy it on our own balance sheet, so that we have a so-called seed portfolio and bring it then to the investors because of our liquidity. We want not to use our own liquidity to do such transactions on our balance sheet, to give it then to investors. And therefore, we need on the one hand to the investor and on the other hand the assets to bring this together on the same timeframe. And that's very difficult at the moment. As said, processes for transaction are very special yes. So at the end of the day, you are discussing two to three months. And then like as you say in Germany the investor comes and say "Oh I pay back a little bit more and then the transaction is done after you have discussed the three months. So it's a very special situation in the market I think and therefore you have to see what's going on but it takes much more time than in the past. And from a – and time-wise I do not think that we will do an acquisition over the next two months. That's possible I think.
Manuel Martin: Okay. That's clear. Then my second of the three questions would be regarding Volkswagen. We all know that they are in trouble and they are thinking about closing factories production sites. If I remember well Volkswagen is one of your major tenants. Maybe you have some comments on that how this could influence Branicks rental income for example?
Sonja Wärntges: Yes. So I know what you mean but it's only Volkswagen is the concern so to say. It's a daughter company of Volkswagen, which uses the spaces. And this is not production but it's so-called logistics so to say. And they even need more space at the moment than lower space. So this is not influenced on the discussions they are doing at the moment.
Manuel Martin: Okay. Okay. Last question it's a bit technical accounting. I don't know whether you have the figures right now but it's on the FFO table, there are some other adjustments in nine months and 3Q, which are relatively notable. The calculated €12 million other adjustments in Q3, which is a lot if we compare that with €21 million FFO, before non-controlling interest. Maybe you have some details what's in these other adjustments please?
Dirk Oehme: Hello, this is Dirk. This relates mainly to our financial liabilities and the redemption of those because there are certain recognitions we need to take in our interest rates. And whenever we pay back then they are recognized faster than we expected them and therefore we adjust them for FFO. So it's mainly related to our effective interest rate adjustments.
Manuel Martin: Okay. Okay. Thank you very much.
Sonja Wärntges: Thank you.
Operator: And the next question goes to Philipp Kaiser of Warburg Research. Please go ahead.
Philipp Kaiser: Hello, everyone. Thanks for the presentation. Just a quick follow-up on this other adjustments. Could you indicate what you expect for the last quarter of the year? Could you give us a broad guidance on are there additional other adjustments we should take into account by calculating FFO for the last quarter? It would be very helpful.
Sonja Wärntges: Thank you for the question. We are looking it up at the moment so one moment. Do you have another question which I can answer then?
Philipp Kaiser: No all the other ones were asked already. So this was the only one left from my side.
Sonja Wärntges: We have it now. It's around about €8 million.
Philipp Kaiser: Okay. Perfect. Thanks a lot. Very helpful. Oehme, thanks.
Dirk Oehme: Thanks a lot.
Operator: And the next question is from Ingo Heldt from MMI. Please go ahead
Ingo Heldt: Yes, thank you very much. I have two questions. Several shareholders of your subsidiary VIB [ph] have raised issues that gives my reason for special audit on the last general meeting and those shareholders will see a court proceeding to account a special auditor. Has the Board evaluated the risk of a court appointment of a special auditor at the level of VIB?
Sonja Wärntges: Good morning. So as you said you are in the appendix Q3 call not in the VIB Q3 call and we don't have a detailed look on this court thing so to say.
Ingo Heldt: Okay. As you are mother company, as your group, just to let you know shareholders at VIB are in the final stages of drafting a complaint to achieve a court decision to appoint a special auditor VIB. Second question in the general meeting you said that your revised strategy or the revised strategy of VIB also includes “[indiscernible] megatrends new look” valuable real estate means modern buildings which fit in the megatrend work. Could you please explain a little bit more detail what this new work is, especially when it comes down to ESG standards and like the vintage of those buildings?
Sonja Wärntges: So I think you can define office buildings on certain ways. So one of it is -- or I think the most important one is what rents are coming out of it, what cash flow is coming out of it, how is the evaluation and how is the rental situation there? So, on the other hand, we have some newer things, as you said, new work, on the one hand, ESG on the other hand. Yes. And at the end of the day, what trends do the buildings have for the future. So that is how we define good office buildings.
Ingo Heldt: Make sense. Thank you.
Sonja Wärntges: Thank you.
Operator: [Operator Instructions] The next question is from Michel Fumar [ph] from Helikon. Please go ahead.
Q –Unidentified Analyst: Hi. Hello. Good morning. I have a question on slide 21 of your Q3 report, where you show that for the nine months of 2024 you have achieved €369 million of disposals. And in the same period you have also accounted for €131 million of impairments related to these disposals. That would mathematically imply that you have taken 35% impairment on the disposals. So in answering a previous question you mentioned a discount on book value of around 20% on the disposals. So could you reconcile the 20% versus this impairment on disposal ratio of 35%. This is my first question. My second question is on CapEx. The only place in the various documents where I can see what kind of maintenance CapEx you spend on the portfolio is in the cash flow statement that you show in the quarterly documents. And here it says that capital expenditure on investment properties for nine months of 2024 was around €20 million. So I would like to understand, if this is higher or lower, and what kind of recurring CapEx is needed to maintain the current portfolio? Thank you.
Sonja Wärntges: Good morning. Yes, the first question is a technical answer so to say. So if we are in a transaction process and we got the idea to sell something and are near to closing and have another price than we have in our book, so to say, we have to impair this. And therefore, you see the depreciation then in the profit and loss. And this does not or this is not the number, which belongs to the closed sales number, because if we have different quarters where we see that the sales price would be less than our value then we have to impair this and depreciate this. It means that if we sell it in the next quarter, we sell it to the depreciated amount then. But the closing is then in one or two quarters later. So if you look on the disposals and the impairments, the two numbers are not combined and so --comparable.
Unidentified Analyst: Okay.
Sonja Wärntges: The second answer I hand over to Dirk.
Dirk Oehme: Yes, I'll take that one. The number in the cash flow statement that's the cash outflow that relates to what is capitalized. So that is CapEx capitalized and another amount on kind of maintenance CapEx as you described it, that's in our number, the other property-related expenses, where we have these CapEx, maintenance CapEx recognized that are not capitalized. So overall, it's more or less a second €8 million in the P&L that relates to maintenance CapEx. So overall, we have around about €29 million, €30 million CapEx and the most capitalized CapEx that relates to development.
Michael Fumar: Thank you. And going forward do you expect what kind of development CapEx is needed to bring your developments into fruition?
Dirk Oehme: Well, I mean it's hard to say. Our developments the main development is at the subsidiary VIB and that's various buildings and properties. And whenever we have marketed those properties, we start the development. So therefore, it's hard to say what we definitely expect, but it's pretty much kind of I would say same number as this year.
Michael Fumar: Thank you.
Operator: And the last question is from René Bourmer from Allianz trade. Please go ahead.
René Bourmer: Hello, yes. This is René Bourmer from Allianz Trade. I was just wondering, have you had any feedback from the rating agencies whether they're considering an upgrade in the near future?
Sonja Wärntges: Yes, that's a good question. So we have continuous discussions with them. So they are updated every time. But at the end of the day, I got the impression that they think about an upgrade when we have paid back the promissory notes mid of next year.
René Bourmer: That's still a long time out there, yes. Sorry to hear that.
Sonja Wärntges: Yes. We are doing our business and doing the business plan as said in the speech. And what we're offering also to the rating agency. But at the end of the day they have their terms so to say. And we have said that we postponed the promissory notes until mid of the year and because they are postponed and not paid back, so to say as originally planned I think that's one of the major points when they are done to think about an upgrade.
René Bourmer: Okay. Thank you.
Operator: Thank you very much. As there are no further questions, I give the floor back to Jasmin Dentz.
Jasmin Dentz: Thank you. So this concludes our Q&A session. Thank you so much for joining us today. And our next IR highlight will then be the publication of our full year results scheduled for March 12, 2025. So thanks again. Stay healthy. Let's talk again soon and bye-bye.